Operator: Welcome to Retail Opportunity Investments 2015 First Quarter Conference Call. Participants are currently in a listen-only mode. Following the Company’s prepared comments the call will be opened for questions. Please note that certain matters discussed in this call today constitute forward-looking statements within the meaning of Federal Securities Laws. Although the Company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, the Company can give no assurance that these expectations will be achieved. Such forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from the future results expressed or implied by such forward-looking statements and expectations. Information regarding such risks and factors is described in the Company's filings with the Securities and Exchange Commission, including its most recent Annual Report on Form 10-K. Participants are encouraged to refer to the Company's filings with the SEC regarding such risks and factors as well as for more information regarding the Company's financial and operational results. The Company's filings can be found on its Web site. Now I would like introduce Stuart Tanz, the Company's Chief Executive Officer. You may begin sir.
Stuart Tanz: Thank you. Here with me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer. We are pleased to report that the company is off to a terrific start in 2015. Fueling our great start are the exceptionally strong fundamentals across our core markets. In fact our markets ranked among the top retail markets in the country according to Marcus and Millichap 2015 retail outlook. Needless to say we're making the most of it. We continue to lease space at a record pace and with our portfolio virtually full we’re having great success in driving rental rates higher as well as enhancing the tenant mix across our portfolio, as Rich will discuss in a minute. With respect to acquisitions we continue to draw on our 25 years of operating on the West Coast and the relationships that we built during that time. Through our off market contacts we continue to source great opportunities to acquire truly exceptional shopping centers. Thus far in 2015 we've secured 207 million of acquisitions including 99 million acquired in the first quarter and another 108 million that we currently have under contract. The deals under contract include two extraordinary best-in-class grocery-anchored shopping centers located in the San Francisco Bay Area market, which Marcus and Millichap ranks as the number one retail market in the country. The trade area demographics for both of these new acquisitions are extraordinary with the population density at over 150,000 people and household income over $140,000. One other shopping center, Gateway Centre is located in the same submarket at San Ramon as our existing Country Club Village shopping center. In fact the two properties are less than a mile apart. With Gateway we will now only control the two premier grocery-anchored shopping centers serving that submarket which will enhance our ability to drive rental rates higher, maneuver tenants and take full advantage of the operating synergies. The second San Francisco Bay Area shopping center that we currently have under contract Iron Horse Plaza is located just north of San Ramon and Danville. The property is anchored by one of the best high-end grocers in the Bay Area that serves us a terrific draw to the shopping center given a 60 year history in San Francisco and its very loyal customer base. With these two new acquisitions our San Francisco Bay Area portfolio will now include 11 shopping centers totaling upwards of 1 million square feet. In addition to acquiring the two San Francisco shopping centers we’re also acquiring the grocery-anchored spaces at two our existing centers. Both spaces are controlled by the same investor that we've had a long and successful history with dating back to our Pan Pacific days. Specifically at our Pinole shopping center we’re buying a 59,000 square foot space that is leased to Save Mart. At our Canyon Park shopping center we’re buying out the Albertson's lease. Albertson's have been underperforming three years at this property but given that they were only paying a minimal amount of rent they continued to operate the store until this past year. Since the day we acquired this center we've been working to get control of the lease. The merger between Albertson's and Safeway finally paved the way for us to get control of the space. We already have LOIs from three different grocers buying for the space all at the current market rent which will be a substantial increase. In light of acquiring these two anchored spaces it's important to note that out of our entire portfolio totaling close to 8 million square feet with over 1,400 tenants we only have a small amount of anchored spaces where the retailers own this space. At the very core of our acquisition philosophy is owning and controlling the square footage at our properties especially the anchored space. In fact we often pass on what would otherwise be attractive acquisition opportunities when the properties have shadow anchors. This strategy is proven to be instrumental over the years in our ability to effectively manage our tenant base and consistently achieve high occupancy and strong rent growth. Needless to say we’re very pleased to get control of these two grocery-anchored spaces. Now I'll turn the call over to Michael Haines the company's Chief Financial Officer. Mike?
Michael Haines: Thanks Stuart. For the three months ended March 31, 2015 the company had 45.1 million in total revenues and 12.9 million in net operating income as compared to 36.4 million in total revenues and 10.1 million in net operating income for the first quarter of 2014. On a same-center basis which includes all the shopping centers that we've owned since the beginning of 2014 totaling 53 properties, net operating income on a cash basis increased by 4% for the first quarter of 2015 as compared to first quarter of last year. With respect to net income for the first quarter of 2015 the company had net income of 4.4 million equating to $0.04 per diluted share as compared to net income of 3.3 million or $0.04 per diluted share for the first quarter of 2014. In terms of funds from operations for the first quarter of 2015 FFO totaled 21.8 million as compared to FFO of 16.5 million for the first quarter of 2014. On a per share basis FFO increased to $0.23 per diluted share for the first quarter of 2015 representing 9.5% increase over FFO per diluted share for the first quarter of 2014. Turning to the company's balance sheet at March 31, the company had a total market capital of approximately 2.6 billion, with 825 million of debt outstanding equating to a debt to total market capital ratio of 31.6%. And for the first quarter the company's interest coverage is a solid 3.6 times. With respect to the 825 million of debt the bulk of that was unsecured totaling approximately 732 million. As of March 31 we only had 93 million of secured debt outstanding and we continue to work to lower our secured debt even further, in fact subsequent to the first quarter we retired a $16 million mortgage, so our secured debt is now down to just 77 million. The largest mortgage we currently have is a $48 million loan that is secured by our Crossroads shopping center. The loan matures on September 1st and bears interest at 6.5%. We expect to replace that mortgage with the new smaller loan totaling approximately 36 million that will bear interest at a significantly lower rate approximately 3.5% and the new loan will be secured by much smaller shopping center, so Crossroads will become unencumbered. As a result of the $16 million mortgage being paid off taking into account the pending acquisitions all of which will be unencumbered and the Crossroads loan being replaced, our unencumbered portfolio which stood at 91% as of March 31, on a square footage basis will increase significantly to approximately 96% by the third quarter and we will have only about 16 million of mortgage debt outstanding. In terms of equity thus far in 2015, we've raised approximately $10 million through our ATM program at an average price of 18.25 a share. In addition in connection with our pending acquisition of Iron Horse Plaza we will be issuing approximately $16 million of operating partnership payments. Lastly in terms of FFO guidance taking into account our results for the first quarter together with the pending acquisitions and ongoing leasing activity we currently expect FFO per diluted share to be between $0.90 and $0.94 for 2015. Now I'll turn the call over to Rich Schoebel our COO to discuss property operations. Rich?
Rich Schoebel: Thanks Mike. As Stuart indicated the fundamentals across our markets and portfolio continue to be very strong. Not only are the economic and demographic trends favorable perhaps more important the supply and demand fundamentals remain very strong specifically as it relates to retail properties. New development continues to be very limited in the shopping center sector across our core metropolitan markets. Additionally the barriers to entry are considerable, and the amount of land available for new development is very limited and the entitlement process is very time consuming, unpredictable and costly, which all translates into our markets and shopping centers being very protected. As a result demand for space continues to accelerate, and it's coming from an increasingly broader range of retailers. In fact during the first quarter when there is typically some post holiday season fallout amongst tenants, we've hardly experienced much of anything this year. And what little seasonal they can see we've had we’re already quickly releasing that space such that our occupancy is up 110 basis points from the year-ago 97% leased as of March 31 which is the highest our portfolio has ever been at this time of the year. Breaking the 97% leased rate down between anchored and non-anchored space, at March 31 our anchor space was 100% leased and our shop space was 93.4% leased. And in terms of the spread between occupied space and leased space which includes newly signed tenants that will soon take occupancy and commence paying rent you may recall that year-end the spread was 5%, representing an additional $5.4 million in incremental annual base ramp on a cash basis. During the first three months of 2015 tenants representing about $1.7 million of that 5.4 million started paying rent. In terms of the current spread between occupied and leased as of March 31, the spreads stood at 4.5%. This takes into account not only those tenants that started paying rents in the first quarter but also includes all the new leases we signed during the first quarter where these new tenants haven't yet taken occupancy and started paying rent. With these new leases included the 4.5% spread represents about $5.6 million in incremental annual base rent on a cash basis, and that 5.6 million as well as the 1.7 million that started in the first quarter does not include the additional incremental cash flow from cam recoveries or percentage rent going forward. Taking all of that into account, needless to say there is a considerable amount of cash flow that will be contributing to our bottom line in the months ahead from all of our leasing activity. And with respect to specific leasing activity in the first quarter during the first three months we executed 92 leases totaling 280,000 square feet achieving a 12.8% increase in same space comparative rents on a cash basis. Breaking that down we executed 48 new leases totaling 111,000 square feet achieving a same-space comparative cash rent increase of 25.4% and we executed 44 renewals totaling roughly 170,000 square feet achieving a 7.1% increase in cash rents. And the leasing momentum continues to ramp up in the second quarter, as an example we just completed re-tenanting initiative at a shopping center that we acquired at the end of last year. When we acquired the property it was 88% leased. Our team immediately went to work and in just few months time we successfully relocated several in line tenants reconfigured and combined spaces to make way for a new retailer that we just signed such as the property is now 99% leased. Looking ahead at our scheduled lease expirations between now and year-end, we only have one anchored lease expired for 21,000 square feet which we're in the process of releasing. And in terms of non-anchored space we currently have about 300,000 square feet scheduled to expire. Given the strong demand for the space that we continue to see across our portfolio, we anticipate that we'll re-lease this space achieving rent growth consistent with our first quarter results possibly better. Now I'll turn the call back over to Stuart.
Stuart Tanz: Thanks Rich. With our strong start to the year we’re excited about the prospects of 2015 shaping up to be another banner year for the company. Notwithstanding an increasingly competitive marketplace we continue to execute our business plan across all disciplines. As Rich just indicated leasing continues to accelerate and in terms of acquisitions our pipeline of off market relationship driven opportunities is very active today. That said we remain highly selective as always. One of our competitive advantages particularly resourcing acquisition opportunities from private owners is our ability to issue operating partnership units. As Mike noted as part of acquiring Iron Horse Plaza the owner is taking equity in ROIC. This represents the fourth acquisition in the past 18 months where the seller has started to take equity in our company. In total today, we've issued approximately $80 million in OP units. With each acquisition the pricing of the units is been at a meaningful premium to our stock price at the time of transaction was agreed upon. We believe that these property owners see the potential upside in the company and part because of our history with them as well as our proven track record. In fact the weighted average total returns to these property owners that took ROIC currency instead of cash is already over 30% to date. From our viewpoint, issuing units that are reasonably valued is a cost effective means of issuing equity and helps to maintain our strong financial position as we grow our business. In short we believe it has been a win-win situation that has served us immeasurably in terms of being able to acquire some truly exceptional shopping centers. Now I will open up the call for your questions. Operator?
Operator: Thank you sir. [Operator Instructions]. Our first question comes from Paul Adornato from BMO Capital Markets. Your question please sir.
Paul Adornato: Stuart I was wondering if you could tell us a little bit about how you came to the two San Francisco properties, were they shown to the market or from existing relationships?
Stuart Tanz: Sure. Both properties were from long-term relationships that I've had and management has had on the West Coast for many years. So we knew the assets well, we were able to move quickly in terms of underwriting the assets and the quality of these assets, and my humble opinion some of the best quality assets on the West Coast, but long-term relationships.
Paul Adornato: Can you talk about the cap rate on those transactions and what upside you see once you take ownership?
Stuart Tanz: In terms of the cap rate for the properties that we have under contract they are just shy of 6%. Looking ahead there is good upside for a number of opportunities that we identified during our underwriting process which should increase our yield by about 100 basis points over the next 12 months to 24 months.
Pual Adornato: I was wondering if you could comment given the rapid rent growth, how is that affecting your tenants? What is their occupancy cost and are they having to stretch in order to pay the additional rents?
Rich Schoebel: Paul its Rich. I think the other thing we’re seeing beside the rent going up is the sales are trending up very well across the board for our tenants that report sales, particularly in the grocery tenants where we’re seeing some really strong double-digit growth in their sales. So the tenants -- the customer demand seems to be there as well as the tenant demand.
Operator: Our next question comes from Collin Mings from Raymond James & Associates. Your question please.
Collin Mings: Couple of questions, first just on the acquisition front. I know in the prepared remarks you indicated that there is really a limited amount of anchored space that might be available but do you think you are looking at additional acquisition opportunities. Do you have any other deals that you are looking at with a similar type of structure you might be able to take out on anchor space?
Stuart Tanz: Our pipeline remains very, very strong. In terms of anchored spaces I don't see these type of opportunities at the current time in terms of our pipeline, but again ebbs and flows everyday in terms of the opportunities. But in terms of what’s in front of us the second no.
Collin Mings: And then maybe just last quarter you've highlighted some potential capital recycling plans for year, can you update us on that front? And anything you might be able to provide as far as potential cap rates as far as we're to [asset] this year.
Stuart Tanz: Sure, we’re still considering selling some non-core properties. It's a bit too early to talk to give you any specifics. And I guess patience continues pay off in terms of the marketplace because we’re seeing a lot of assets on the West Coast now trading the sub-five cap rate -- five cap rate range.
Collin Mings: And then, again I think -- as we think about the different markets that you're in on the West Coast, I think last quarter you highlighted Portland was really a market where you were really encouraged about some of the momentum and some of the potential for more pricing power. Can you talk just a little bit more about what's driving that outlook for that market in particular, and any update to that outlook as well?
Stuart Tanz: While all our markets are really strong. As we've articulated today, and I think as we've shown in terms of our earnings. Portland and Southern California are the two markets on the West Coast that have come of the recession later than Seattle and the Bay Area. So those are the markets we’re seeing a lot of pent-up demand and a lot of growth as it relates to our rental rates. Portland is continuing to so that growth. And as I look into the certainly the second half of the year or certainly the balance of the year, I see this continuing even more even stronger than it's been. Again for Portland and primarily Southern California and of course Seattle and San Francisco just keep going. I mean there is no let up from what we can see there in terms of overall tenant demand and growth for the rental rates.
Operator: Our next question comes from Tammy Figue from Wells Fargo. Your question please.
Tammy Figue: I guess I was just curious on the $5.4 million of leased and uncommenced rent that was signed at year end 2014, how much of that are you expecting to commence this year?
Rich Schoebel: It is Rich. We don't have a specific number that I can give you right here in the call, we can certainly follow-up with you with more details. But throughout the balance of the year we expect that most of that will be coming in. However we’re also going to be adding to it as we lease up the available space. So there is always going to be some number out there of uncommenced rent.
Stuart Tanz: And we see the acceleration much more slow as we move into the second and especially the third quarter of this year. That’s when a bulk of this really hits our income statements.
Tammy Figue: And then, it looks like the guidance adjusted the share count 2 million lower versus prior guidance. I know last quarter you talked about the model kind of running higher, shares for acquisitions, on a leverage-neutral basis. But I guess I was just curious, if it's not going to be equity that's going to be funding some of these additional acquisitions, what you're sort of expecting in terms of another use of capital?
Mike Haines: Tammy its Mike. At the end of the first quarter we had gone back into our internal model, kind of modify the assumptions for capital needs going forward, both debt and equity. That’s keeping our preliminary debt balance in line, watching the bond market weighing all of our options it'll just be a function of timing our acquisitions as we move through the year. We’re little bit front loaded in the acquisitions, but also we thought we were going to raise equity contemplated model-wise, projection wise to do some more in the first quarter but that's going to be pushed out further in the year.
Tammy Figue: And then, maybe just in terms of Excel being, obviously, taken out at this point. I guess I'm just sort of curious what you think about that transaction and just kind of want to get your perspective on the timing.
Stuart Tanz: Sure. I mean in terms of the Excel deal I think it's good for both sides. The deal was announced few weeks ago and we've gotten a lot of questions about it. Given that Excel is based in San Diego, lot of people thought that their portfolio was actually similar to ours, however only a third of their portfolio was located on the West Coast and only about a third of their properties are grocery-anchored. So in terms of the overall transaction it's good for both sides.
Tammy Figue: And then just, I guess, in terms of sort of timing on that, is this -- I guess there's sort of a message that says is this a good acquisition environment or is this a good disposition environment? So I guess just maybe can you give us some sort of broader perspective on that?
Stuart Tanz: For us it's a great acquisition environment. Because we continue to be the black buyer of choice on the West Coast, and we continue to source very strong off market transactions. So we believe certainly acquisitions for us is a much better way at this point to create value for shareholders, along with all the embedded growth that we've got coming in our portfolio.
Operator: Our next question comes from Todd Thomas from KeyBanc Capital Markets. Your question please.
Todd Thomas: Just a quick follow-up on the guidance question. What was the increase attributable to specifically? Was it a change in sort of the corporate model around funding acquisitions and the reduction in the share count, or was it the same store? I mean, what was the primary driver?
Rich Schoebel: I think it speaks to the strength of our property and the fundamentals of our Q1 came in a penny ahead of consensus and we’re just looking through the model for the balance of the year, and we analyze -- it's going to come on and just we felt that we could tighten up the guidance a bit.
Stuart Tanz: It’s coming from the operating side of the company. The share count is important Todd but I think what you are seeing here is really as we've articulated is the strength of the real-estate more than anything else.
Todd Thomas: And then Stuart, the $300 million acquisition target for the year -- that was a net number, including dispositions. It sounds like dispositions might be taking a little bit of a back seat right now. Is that the right read? And then, given the pace of acquisitions so far to date, are you now assuming a higher net acquisition number for the year?
Stuart Tanz: We haven't guided the street with an increase in terms of acquisitions, but I am very comfortable with certainly things said at this point in the year. And again as I articulated in terms of dispositions we’re still considering selling couple of non-core assets, but again I think you'll hear more specifics as we move closer through the year.
Todd Thomas: And in terms of acquisitions, are there any sizeable deals or any small portfolios out there, I guess, or is it mostly one-offs like we've seen over the last several quarters that you're targeting?
Stuart Tanz: It's both. We’re seeing some very nice one-off transactions with some size, as well as portfolios. We've got our eye on both. So we will see how things progresses. But right now the year is looking very strong. And more importantly the quality of the assets that’s what important to us that we’re buying the best assets in our backyard that have what I would call juiced in terms of building shareholder value.
Todd Thomas: And just last question. In terms of the anchor acquisitions, not sure if I missed this at all. But how much capital do you anticipate spending to re-tenant the spaces? And what do you anticipate the overall stabilized yield to look like upon completion for those two boxes?
Stuart Tanz: Well remember we’re only doing one of the two, right? Because one is an existing tenant that’s paying rent, but the store in Bothell, in Seattle -- Rich, what are we spending there about?
Rich Schoebel: Well we’re going in for those deals in the mid 6s and we expect that depending on which tenant we select for Canyon Park that yield will in the 7s.
Stuart Tanz: So on a blended we’re at probably in the mid 6s and that’s conservative.
Operator: Our next question comes from R. J. Milligan from Robert W. Baird. Your question please.
R. J. Milligan: Stuart, wanted to follow up on Tammy's question about West Coast and where we are in the cycle. Curious where you think we are in the cycle and maybe how that's changed over the past year or two. And whether or not the cycle's gotten longer, and maybe what's contributed to that?
Stuart Tanz: We think this cycle is as bit longer this time around. No supply, that’s been one of the key factor, nothing has been built. So certainly the acquisition environment and valuations are getting in the sub-5s at this point but the runway is still looking pretty good for us. So if you would ask me what anymore in I would tell you we’re probably still in the sixth inning.
R. J. Milligan: And also to follow up on sort of the M&A question. There's obviously been increased interest in retail assets. I'm curious if you're seeing private equity interest out on the West Coast, whether it be one-off acquisitions or looking to portfolios, given the fact that cap rates are so low. It's difficult to make the math work if you're private equity.
Stuart Tanz: The wall off capital is tremendous, from private buyers; institutional capital there is a lot of and in the West Coast over the last year has become the most sought after market in the country. So we continue to see a very strong demand. But for us we are very selective in what we’re buying and more importantly we’re buying from primarily mom and pop owners that -- for us that mom and pop owners. So the wall of capital is there, the buyers are there, but we continue because of our longstanding relationships to find some very attractive opportunities.
Operator: Our next question comes from the Jay Carlington from Green Street Advisors. Your question please?
Jay Carlington: So not the guidance horse, but just wanted to check on the FFO the absolute number I guess has come down a little bit, but it sounds like most of the acquisitions are front-end loaded. So just kind of curious what moving parts are in there that I maybe missing?
Rich Schoebel: Well I think again it goes back to the model assumptions that we use. We had the three acquisitions that we closed in January were kind of identified late last year. We also had some other acquisitions pegged in the model to occur during Q1 because the pushed back in the Q2. So it's pushing down a little bit of the total asset book on a yearly basis.
Jay Carlington: So it is a quarterly shift from Q1 to Q2 then?
Rich Schoebel: Right.
Jay Carlington: And then Stuart, I know we talked last quarter kind of spread on your leased comments and how you are kind of seeing a delay getting those tenants to commence. Are you kind of happy with the progress we saw in terms of that commence, the least spread narrowing 50 basis points and is that kind of a good run rate to think about as we move throughout the year?
Stuart Tanz: No we're making very good strives there and as I think Mike has articulated and I think I have articulated that, that spread really starts to accelerate as we move into the second quarter and third quarter of the year. So I can't give you an exact number by quarter, but I can tell you in terms of 50 basis points but I can certainly tell you that it is going to accelerate which hopefully will provide us some very strong numbers in terms of same-store NOI growth.
Operator: Our next question comes from Christy McElroy. Your question please from Citigroup.
Christy McElroy: Another follow-up on the guidance stuff. It sounds like, from what I'm hearing that the change in the share count had to do with the expected timing of an equity raise. Was that change in timing expectations -- did it have more to do -- was it more related to the change and expected timing of the remaining acquisitions that you're guiding to? Or has there been any change on your views on sort of leverage and the balance of debt and equity when it comes to funding investments?
Rich Schoebel: No it's really just the shift of the timing of the pacing it with the acquisitions, I think I mentioned earlier we want to continue to keep our leverage ratio in the 40% range and keep our key credit metrics about the same levels as they are today. So as we go through the balance of the year we’re going to be looking at debt and equity to make sure we keep those metrics on track.
Christy McElroy: And so, what's in the model right now in terms of the timing of a raise this year? Because obviously there's still a raise that's assumed in there. So maybe you can help us pinpoint sort of the timing of the issuance and dollar amount.
Rich Schoebel: We are keeping all of our options open, I think we’re going to be doing obviously both debt and equity. How we’re going to go about doing that we have a lot of different options at our disposals, so I don't want to necessarily pinpoint any specifics.
Stuart Tanz: Obviously we’re not going to -- our equity is the most precious resource, so we’re not going to sell in our equity cheap either. It just depends on where the markets move and what’s best of our shareholders as it relates to capital allocation.
Christy McElroy: I know you're focused on grocery-anchored centers. Maybe you could provide your thoughts around whether or not you'd be interested in maybe expanding beyond that scope into other sort of retail formats like street retail that are in your core markets.
Stuart Tanz: This is what we've done for the last 25 years. We've focused in one product type grocery- drug-anchored shopping centers. We did buy one street anchor, one urban project in Downtown Seattle and the only grocery store in Downtown. So periodically if we can find an opportunity in one of the CBDs on the West Coast that fits that profile we’ll look at it, and we might buy it. But the focus and the discipline of this company is not going to change. There is a lot of advantages with buying this type of products as it relates to the retail industry. I mean personally I think the grocery- drug-anchored sector offers not only the most defensive part of the business but in a lot of cases it also provides the upside but more importantly it's the co-tenants supervisions. Very little few co-tenancies so as retail continues to change day-in and day-out it certainly protects the down side risks, which for us are really important.
Christy McElroy: And then, just lastly, I'm sorry if I missed it. It sounds like the Save Mart at Pinole Beach there was a sale lease-back. What was the cap rate on that, and sort of in terms of your comments about gaining control over the real-estate, is there any sort of longer-term strategy in terms of gaining control over that box?
Stuart Tanz: Sure it was not a sale lease-back. This was an investor that purchased both the Albertsons leasehold interest up in Bajo and then own the fee interest here and leases it to Save Mart. So we’re taking out that sandwich position. And then in terms of what it might hold for the future is having control of that property gives us a lot more flexibility and redevelopment opportunities present themselves going forward. And that property we believe long-term has some development potential.
Christy McElroy: And sorry, what was the yield on that, taking out acquisition?
Stuart Tanz: Well on a blended basis we’re going in about 6.5 cap on both transactions. And we expect that to be in these tenants going forward.
Rich Schoebel: That’s unlevered cash.
Operator: Thank you. We have the follow-up question from Collin Mings from Raymond James and Associates.
Collin Mings: A follow-up here. When been talking about the cap rate environment, just the overall demand you're seeing in your markets. Talking again about sub-5% cap rates for some assets. Can you maybe quantify that, Stuart, or maybe how much that has changed in your mind year-over-year, or even since the beginning of the year?
Stuart Tanz: Year-over-year probably 75 basis points, 50 basis points to 75 basis points. In the last 90 days about -- I would tell you about 25 basis points values have continued to move up cap rates have continued to move down and I will again say that the West Coast continues to be the most sought after market in the country.
Operator: And I am not showing anybody else in the queue sir.
Stuart Tanz: Well in closing I'd like to thank all of you for joining us today. If you have any additional questions please contact Mike, Rich or myself directly. Also you can find additional information on the company's quarterly supplemental package which is posted on our Web site. And lastly for those who are attending ICSC convention in Las Vegas starting May 18, be sure to look us up. Our booth is in the same location as last year. Specifically in the south hall at S490 N Street. We hope to see you all there. And thanks again. And have a great day everyone.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may now disconnect. Everyone have a wonderful day.